Operator: Good morning, everyone. And welcome to Wizz Air’s Q1 Results. Just a reminder, this presentation is being broadcast live on the webcast. When it concludes, we will turn to Q&A. We will take questions from the room first, followed by those online. When it does come to questions, please wait for the microphone to come around and state your name before you pose your question, and just remember, the microphone is there for the people online. It won’t amplify your voice. And with that, I will hand over to Jozsef Varadi and Ian Malin.
Jozsef Varadi: Thank you. Good morning, everyone. Thank you for coming and listening. Sorry, how can I move this?
Operator: Just say next slide.
Jozsef Varadi: Okay. That’s okay. All right. So, we are reporting the first quarter of financial year 2025. As a matter of fact, I think, we are reporting very strong underlying trends. But at the same time, those trends have been tainted by certain hiccups affecting the performance of the business from a financial standpoint. So with regard to profitability, profitability was impacted by two major factors. On the negative side, the FX, which is a very volatile movement on the business. Sometimes we gain, sometimes we lose. This time we lost. And that was an impact of €27 million. This is not a real P&L. This is more like an overhang from the balance sheet. And secondly, we had a one-off wet lease cost of roughly around €40 million, which will not be reoccurring going forward. This is a temporary measure due to temporary issues. So we will elaborate on those. Actually, unlike some of our competitors, we have experienced a more robust revenue environment. Our unit revenue actually was up over 3%. That generated more cash for the business and started improving our leverage ratio and now it is below 4%. I mean, this is, of course, a continuous improvement coming through growth and profitability in the future. The single biggest issue to the business remains the GTF exposure. And as you can imagine, that is not just the one-off cost associated with the engine management, but also some structural impacts, at least temporary structural impacts affect the performance of the business. We are operating older aircraft, we are operating under gauged aircraft versus the original plan and that that that all affect unit cost performance negatively. I told about the wet lease issue. I mean, indeed, it is temporary. We are planning on phasing out all the wet leases at the end of the summer period. Now, maybe just for you to appreciate the issue here. So at the time we decided to take wet lease was based on two considerations. One, a strategic one, we said that we would not be accepting a significant capacity decline, and with that, handing over markets to our competitors in big summer. And also, that would have affected a significant number of consumers who have already made their bookings in the summer period. So we wanted to protect the consumer on the one side and we wanted to protect our competitive positions, and those were strategic issues to be put on the table. At the same time, coinciding with that, we were getting projections from Pratt & Whitney that actually the number of grounded aircraft may be around 55 going into the into the peak summer, which would have created significant capacity gaps and we would have not been able to uphold capacity flat year-on-year. So that was kind of an emergency reaction to the issues we were foreseeing at that point in time. In the meantime, the situation has improved. So Pratt & Whitney has found ways of delivering engines quicker than what they anticipated at that time. And as you see in the numbers, actually, we’ve got 46 aircraft grounded at the end of the period, peaking to 47 in the summer months, and basically that made us decide to phase out the wet lease aircraft. But don’t think that this was like unconsidered decision or anything like that. Of course, we saw the negative impacts coming through the financial. But we saw that the issue was strategically very important to be tackled as opposed to just leaving a position wide open to the market and to our competitors. With regard to the GTF matters, as we were trying to work out some more insights for you to understand the mechanism of compensation and how that mechanism relates to the actual cost of the business. So, the very cost of the GTF issues are indeed compensated by Pratt & Whitney. But the consequential damage is not fully compensated by Pratt & Whitney. And there are a number of factors that shall be considered as consequential damage. I mean, for example, the fleet mix, the fleet age, the gauge of the fleet, the impact on capital costs. I mean, you simply just think about it, that we have a lot of brand new aircraft on the ground and we are flying a lot of old aircraft. I mean, that makes a profoundly negative impact. With regard to sustainability, we are recognized as world leader with that regard. And now for the fourth consecutive year, we were awarded for being the most sustainable local airline. Could you please move to the next slide? Actually, the quarter was very strong in terms of underpinning operational performance. You remember, we have been discussing this for some time, that most of the structural cost issues arose from some of the hiccups in operations and some of the KPIs not met through operations. We have put actions in place and we have invested significantly into improving the operational metrics, and you can see actually operational metrics improved substantially. So if you look at aircraft utilization, which we consider as one of the most fundamental issues of the USCC business model, this is now up to standards, a significant improvement. We operated the fleet on average for 12 hours, 48 minutes, and that compares to 12 hours, 7 minutes a year before. And now, as I said, we are back to standards, we are looking at 12.5 hours as a target for the whole year. And we are not really yo-yoing capacity and utilization that much for various reasons. So this is a huge improvement, a significant one and strategically critical to underpin the performance of the business over the long run. On-time performance has also been improving. As a matter of fact, the completion rate of Wizz Air was the best or one of the best in the whole of the industry. So we were topping the league with that regard, and also, on-time performance improved substantially during the period. And again, completion rate and on-time performance are the underpinning factors for customer satisfaction, for EC261 compensation matters, and these are the factors that take care of some of the complexities arising from suboptimal operations. So, all in, actually, we did a very good job to enhance the operational metrics of the airline. Now, looking at the flip side of the equation, and this is more down to the Pratt & Whitney issues, the gauge has come down from 225 seats to 219 seats. I mean, that’s a significant erosion and a significant impact on unit cost. And I mean, you can see this is one of the consequential damage areas of the groundings that the operation of the airline changes as a result of not being able to fly brand new aircraft as they are grounded. Again, I would consider these factors as temporary, not one-off, but temporary. Once we are over the cycle, this is going to get corrected, because all the older aircraft extensions are in place for two years to three years to really bridge this period. And once we regain the aircraft from the ground and we continue to take new aircraft deliveries, this metric will re-emerge very quickly to the normalities. And as said, our carbon footprint remains very impressive in the industry, being by far the lowest amongst peers, and that is, of course, well recognized. And this is all despite the fact that we are operating a smaller aircraft on average and an older aircraft than previously planned. So, we are going to talk about the yield environment and the revenue environment. But in my mind, we delivered fairly well on revenue, but the context has changed. When your competitor drops fares in the last two weeks prior to departure, obviously, we are not immune from that. I mean, we are an actor of the market, but we are not the market. So, competitive activities affect the performance of the business. But in our own right, actually, we delivered strong revenue performance. And that doesn’t mean that we are perfect and there are no more ways to improve it. But within the context, I think, we were fine. Underlying terms, I think the operational KPIs, which are the determining factors for long-term cost structure, they have improved tremendously, and back in standards, we are now back in pre-COVID levels. But because of the Pratt & Whitney issues, the actual financial performance got tainted quite significantly. So, our conclusion is that cost is the focus of the business and we need to do everything to make sure that whatever we are losing on the cost side because of the issues we deal with, we offset with other measures, but we are going to talk about those. And with that, I would hand that over to Ian.
Ian Malin: Thank you, Jozsef. So, switching over to the next slide on revenue, I’m going to point out the key elements of the goods and the bads, and give you a bit more context on that. So, in terms of revenue, despite slightly lower capacity, we had higher revenue in nominal terms, as well as on a unit revenue basis. So, 3.1% higher unit revenue in the period April, May, June that is still not the peak season. That was broken down in terms of the €1.259 billion revenue was broken down €702 million in ticket revenue and €557 in ancillary revenue. Ticket revenue was up 2% year-on-year and ancillary was up 1.7% year-on-year. So, ancillary, I think, is one to point out that is coming back on track after Q4 last year where we saw some challenges on ancillary performance. In terms of EBITDA, we’re pretty happy to point out 16% higher EBITDA year-on-year. I’ll talk about depreciation on the next slide. Obviously, that was higher, as you can see, bringing EBIT down year-on-year, and then, of course, net profit down year-on-year. It’s important to quantify the impact of the two elements that impacted net profit for Q1. One is the FX swing of €27 million. It was a timing issue at the end of June when we took a snapshot of the exchange rate. That has largely corrected itself since then, but as Joe says, we are at the mercy of that and we’re looking at ways to mitigate the impact of that, because as the business grows going forward and as the fleet grows going forward, the impact of that will become more amplified unless we start to intervene. On top of that, we had wet lease costs as discussed. At the time, we had information that implied that we had a need for that. We’ve learned a lot about how to park aircraft and now we’re learning how to unpark aircraft. And when the total grounding projection from Pratt changes and we end up with engines back sooner, it’s a bit more complicated than just changing a cell in a spreadsheet and assuming that you can active aircraft. From Pratt’s perspective, when an engine is returned, their compensation obligations are largely over and so we lose the compensation, but at the same time, we lose -- there’s a gap in the period of time that it takes for us to start putting that aircraft back into production. You have to hang the engines on the aircraft. You have to do the maintenance required to take an aircraft out of preservation and back into operation. You need to make sure that you have crews available and you have a network and you have sales to support that. And so, there are inefficiencies there that we’re working on addressing. And so that all factors into the overall cost pressure that we see in Q1. It gives us a lot of areas to tackle as we further focus our efforts on cost eradication. But if you add the €27 million swing on FX and the €40 million or €39 million from wet lease costs to the reported profit of, one, we end up with a number that would have exceeded Q1’s profit last year. So, it’s a disappointment, of course, in terms of the cost -- unnecessary costs that we incurred in Q1. At the same time, when we signed these wet lease contracts, we were entering the summer period. There was a lot more confidence in the revenue environment going into the summer and wet lease aircraft were in high demand. And so we were -- we made the decision to contract for both the summer period, as well as for periods into Q3 and Q4 for these wet lease aircraft and now we’re trying to get out of those. We’re trying to find commercial ways to exit those contracts. There’s a team working on it actively. We’re optimistic that all the wet lease aircraft will be gone by the third quarter, but there will be costs in Q2 and Q3, and that impacts the guidance adjustment that we’ll talk about later on. In terms of hedging, we are 65% hedged on both fuel and the FX portion of fuel for F26 and 19% hedged for F27 for both. For fuel, F25’s collar is €854 to €791 and F26, it’s €843 to €736, and for FX, both F25 and F26, it’s €1.08 and €1.12. So, our fuel and FX fuel hedging portion of the hedging policy is in line with policy. We’re pleased with where we are and we’re seeing plenty of appetite from our counterparties to provide credit for us. So that’s reassuring. In terms of our overall demand in the business, it’s looking in line with where things were last year. So load factors are lined up with where they were this time last year, and then going forward into Q2, we’ll obviously be announcing our Q1, sorry, our July numbers tomorrow, our traffic numbers. But in terms of Q2, so we’re looking at August, September and October being in line with last year. Roughly 75%, 74% for August booked, September being 38% booked and October around 18% booked. So that’s where things were last year at the same time. If we could go to the next slide, please. So this is the name of the game here in terms of cost. So we guided last quarter to be up mid, sorry, high-single digits in terms of ex-fuel CASK and we ended up at €2.72. You can see that at the bottom. I would argue that it is appropriate to make an adjusted ex-fuel cask number and adjusting out the €40 million that I mentioned earlier in wet lease costs. You can see that on the left we’ve broken out the other costs line into its constituent parts. And you can see that there’s €0.13 of short-term wet lease costs in there. So, if €2.72 versus Q1 last year was 8% up, €2.59, which is the difference between the €2.72 and the €0.13, is 3% up. So in terms of ex-fuel CASK, we’re up 3% year-on-year on an adjusted basis. Now, it’s important to look at this slide in totality and not individually. Because, first of all, we did say there were going to be higher costs in the business for a number of factors. One is there are inflationary pressures. Second, there are Pratt-related costs. And third, there is the capacity growth that’s not coming. Fuel, we talked about. There’s an older average age fleet, less efficient aircraft. The wet lease aircraft are 180 seats in general versus our A321 leading aircraft of 239 seats. So despite lower fuel prices, we’re seeing higher fuel costs. Staff cost was one thing we called out last quarter. We are aware and deliberately holding additional staff available for the growth that’s meant to return next year. So there’s going to be inefficiency there on staff. I’ll come back to maintenance and depreciation in a second and focus on airport and handling. That’s important in that when you sign airport deals, you -- those deals are very much tied to targets, volume targets. They all want to see passenger growth. They incentivize us to bring passenger growth. And when our growth stalls, we don’t get the benefits that we’re expecting and that’s driving costs into that line. The Pratt arrangements that we have are largely meant to address the cost of parking aircraft, as Jozsef said, not necessarily the consequential effects. So the direct costs of parking aircraft. Maintenance, of course, is going to be higher. You’re going to see more engine swaps. You’re going to see more maintenance related issues. On top of that, the supply chain is stressed and so we’re seeing challenges around maintenance. So that’s one element. And then the other element that the compensation is meant to offset is on the aircraft ownership, which flows through the depreciation line in our P&L and a number of things have happened there. So we have aircraft on the ground, but we have been adding aircraft. We have 226 aircraft total in the fleet right now. Those aircraft are more expensive aircraft. The A321neo is a high performing expensive asset. And on top of that, we invested consciously last year and in this quarter in spare engines, building up the spare engine bank to help us deal with not just resilience today, but long-term resilience down the road. And so that depreciation line is under pressure from the groundings, as well as from the overall evolution of the business. But if you look at the increase in maintenance and depreciation, €0.26 on depreciation and €0.09 in maintenance, that’s €0.35 in total. And compared to the compensation on the far left, €0.31, you can see the compensation largely offsets the increase in costs and maintenance and depreciation, allowing for a little bit of gap for the growth of the overall business. So that’s how I would ask you to conceptualize the overall cost structure. There’s certainly work to be done. Things like wet lease costs are unacceptable and that’s why we’re working to get rid of them. And overall, there is cost pressure within the business, but that’s what we want to focus on. And as Joe says, regardless of what the revenue environment is, if we have the lowest cost, then we should be able to compete under any circumstances and that’s why we’re putting so much attention on cost. Next slide, please. Overall, in terms of financial performance, we had €1.8 billion at the end of the quarter. That balance is now closer to €2 billion. So it’s developing nicely. Our cash -- EBITDA to cash -- EBITDA to free cash flow conversion is in line with prior periods, despite not having the growth that we saw last summer. Overall working capital is in line with where things were last quarter -- last year’s quarter, Q1. I know there were a lot of questions around that at the Q4 and that related to the timing of the Pratt & Whitney compensation activating. And you can see there’s a progression in net debt down. So we’re at 3.7 times at this point. We’re still targeting to bring that number down to 2 times or below. To some extent, it depends on the overall fleet financing structures that we are applying and the mix between operating leases and aircraft ownership type structures, whether it’s the JOLCO or the finance lease. That’s the direction of travel and it depends largely on the overall timing of the assets that we get, whether they’re aircraft or engines, and so we continue to manage that carefully to bring our balance sheet into a robust shape for long-term viability. So, with that, I’ll pass it back over to some of the GTF related highlights, Joe.
Jozsef Varadi: Thanks, Ian. So, with regard to the GTF, this is to provide you an update and evolution of the management process here. So we ended up with 46 aircraft to the ground at the end of the reporting period and we are expecting that number to peak at 47 in September. We think this is going to be the peak as we stand right now. Today, it’s 45 aircraft. Now, creating the context to the numbers. So, as I said, back in the days when we were looking at wet lease as a solution to bridging the capacity gap, at that time, the prediction was 55 aircraft. So actually things have moved, but things are moving on a continuous basis. I mean, we are in touch with Pratt & Whitney every day and we are reviewing the process. And the developments depend on a lot of issues, availability of shops, availability of labor, availability of parts. Brett’s industrial processes, because they are the producers of the parts. How many other engines are queuing, et cetera, et cetera? So it’s a very complicated process, very difficult to model, and whatever you model, that keeps changing. But this is our best view at this point in time. But this is not graved in stone. This can change up or down. But this is what we think today we’re going to be ending up with. We are still assuming a 300-day overall engine turnaround time. Now, clearly, what we are seeing is that Brett has been able to identify some quick turn opportunities. Quick turn means that we get the engine into the shop. It takes probably 50 days to 60 days to get through the shop visit and we can put the engine back on the airplane. The problem with that is that obviously that’s a reduced scope of activities, but you will reach the next cycle of maintenance on the engine fairly quickly. So, it’s quick today, but it’s going to be quick also to go to the second shop visit. So, overall, when you look at it over a period of time like, I don’t know, three years, four years, you are not really saving anything in terms of time. You are just shifting the balance from one place to another. But we think that this is still a better solution given the situation where we are today. We have been loading operations with a lot of spare engines. So, by the end of summer, we will have 56 of those spare engines. So just imagine the magnitude of the issue. We still have 46, 47 aircraft on the ground, notwithstanding that 56 engines are consumed in supporting the process. So you take, I don’t know, 47 twice. So that’s nearly 100 engines and above that another 50 spare engines. So we have actually 150 engines being non-operational as we speak against a fleet of 220 aircraft in total. So the issue is substantial, as we have said, and management of the issue requires significant focus and resources on all sides of the equation. But we think we are on top of this. We think that we are able to create better and better views for the future with more clarity. Nevertheless, everything remains subject to change. With regard to negotiations, we are negotiating on induction times, induction slots, turnaround times. But we are not totally in control of these issues, as well as the extension of the compensation scheme going into next year. As you know, we have an agreement in place until the end of this year, but we are in the process of extending a compensation scheme beyond that period, of course, and I don’t think there is an issue here. So you should not be making false assumptions that as of the 1st of January 2025, there is nothing coming from Pratt & Whitney. There will be compensation schemes coming, but it is just yet not finalized. Could we please move to the next slide? Thank you. So this is the fleet plan. And I need to caveat this fleet plan because obviously the first thing that jumps out is that the fleet is going to grow from 229 seats from the end of the current financial year to the end of the next financial year, so which is jumping to 300 aircraft, constituting around 35% growth. That’s not going to happen. But this is the contractual numbers -- these are the contractual numbers that we can present to you. But we know that due to the Airbus delivery delays, actually the fleet count is shifting. So we are expecting something between 30 to 35 aircraft in the fiscal 2026 estimate not being delivered. So fiscal 2026, end of fiscal 2026 is expected to be 200 and something between 260 and 270. So the fleet growth for the next financial year is expected to be around 20%, even sub-20%. But we are at the moment just presenting what is contractual, not what is totally realistic. But again, this is a moving target. I mean, you see that Airbus is making announcements on a fairly continuous basis, commenting their ability or inability to deliver aircraft on time. But please, despite the 300 contractual commitment, expect roughly around 260, 270 aircraft to be in the fleet by the end of the next financial year. As said, we are getting rid of the wet lease aircraft at the end of summer. So that should really be considered as one-off. And with regard to the XLR, current confirmation from the manufacturer is that we would start receiving the XLRs in calendar year 2025, and in that year, we expect to receive eight of those units and we will, of course, make commercial announcements with regard to the deployment of those aircraft. Next slide, please. So that brings me to the to the guidance. So, unfortunately, we have to process all these issues. What we are seeing, whether this is one-off or short-term, temporary structural. But we are now guiding on net profit of €350 million to €450 million on the basis of flat capacities throughout the year. Flat in the first quarter, flat in the second quarter. With regard to the revenue performance, I think, we take note of the of the revenue softness in the marketplace. Also, what our competitors observe, because we are not immune from that. It is either notwithstanding that we think we are doing better on revenue than most of our competitors. We are maintaining the 92% load factor guidance and we see RASK to be at around mid-single-digit year-on-year going through the financial year. On the cost side of the business, fuel CASK, we maintain guidance being flat year-on-year. On ex-fuel CASK, we are -- as guided previously, we are maintaining the high-single-digit guidance. I mean, one of the significant issues on the cost side is wet lease, we have discussed that. The other significant issue, of course, is the Pratt & Whitney related matters that are largely offset through a compensation scheme. But there are some detrimental impacts on, on other lines of the KPIs or the operational or financial metrics. We are clearly seeing a very big ATC performance. We would have hoped that by the summer ATC would be in a better place. They are not -- let me just give you one example. So, if you look at our markets, the backbone of our markets in Central Europe, especially kind of the corridor of Romania and Hungary, given the war in Ukraine, Ukrainian airspace is close. Traffic is redirected and basically all that traffic is put through the Romanian-Hungarian corridor. And then you look at it from an ATC perspective. Markets have recovered. Both Hungary and Romania are up and above pre-COVID capacity levels. And on top of that, they are getting all these redirected traffic, predominantly overflying the airspace. And they are not even at pre-COVID capacity levels with regard to air traffic controllers. So they have huge shortages of labor capacity as a result. Our slot restrictions are through the roof. So we just look at Budapest. Budapest slot restrictions are twice as small as what it was last year. So it’s bad. And with that regard, I mean, again, somewhat we are disproportionately affected. And obviously, ATC issues affect operation performance, affect customer satisfaction, affect EC261 compensations. So some of the crew issues like the act of left out of base that triggers higher crew costs. So there are lots of consequential damage areas with that regard and we took all these into account with the new forecast. I think that concludes our presentation and so questions please. Yeah.
Q - Harry Gowers: Good morning. It’s Harry Gowers from JP Morgan. Two questions, if I can. The first one, just in terms of this timing mismatch on costs, flying the expensive wet leases, getting the engines back in maybe a bit quicker into the fleet. Is this a mismatch which is just going to continue until the wet leases completely exit the fleet? So presumably until the end of Q3. And then second one, the closing bookings weakness. Obviously, the market has got a little bit softer. Airlines are dropping their fares. Do you think, best guess this is a temporary issue and it may right size itself over the next one or two quarters, or maybe we’re in for a bit more of a difficult pricing reset over the next two years to three years? Thanks a lot.
Jozsef Varadi: Yeah. Let me take Harry. So, with regard to the wet lease detrimental impact, we are looking at phasing out wet lease operations completely at the end of October. So this is really covering capacity for summer, but end of October is over. Now, we have some contextual issues we will have to sort out with the leasing providers, because the original plan was to operate five wet lease aircrafts throughout the entire financial year and three on top of that only for summer. So summer is easy. Contact expires and the aircraft goes. But the five aircraft we have at the moment, a legal obligation or some kind of a legal commitment, which we need to manage ourselves out of that. So there might be some kind of dragging issues. But in terms of the operation of wet lease aircraft, that is not going to be one after the first of November. So that’s going to be out. But with regard to the booking plans, I think the issue what we are seeing is that, the question is not only down to the airline sector. So, you look at reports in the United States, in Europe, across consumer goods and service industries. It’s a fairly clear trend. So all consumer affected businesses are pretty much reporting market softness. And I think this is the result of inflation pressure really catching up with the consumer finally. So people are simply contained on their spending capacity. I mean, some people might have decided to kind of get loaned against that gap, but I think there is a limit to it and that now feeds through the demand side of the business. In principle, this should be good news to us, because what we have experienced is that under distressed circumstances like this from a consumer angle, actually low cost airlines benefit from the situation. It might cost some yield, but strategically we certainly benefit from that, because this is the time really when consumers migrate from low cost carriers to -- bot from high cost carriers to low cost carriers. So we are very keen on taking our fair share in that -- in the development and capture the marketplace. So I would say that strategically, this is a good thing for Wizz Air, but it may come at a cost, obviously, in form of yield.
Alex Irving: Thanks. Alex Irving from Bernstein. Two from me as well, please. Also on the fares, how does, are you able to share any color on the impact of Ryanair’s pricing on your fares? Have they developed differently in markets where you overlap and where you do not overlap with Ryanair, either on a route or an airport basis? Second on the fleet, so you’re told us to expect about 260 to 270 planes at FY 2026. What does this imply for FY 2027? You have 348 in the fleet plan. If you then restore some of the GTF planes as service, we’re talking maybe about 100 more active aircraft year-over-year, which feels like quite significant growth. How should we think about what you’re really planning for and to be expecting?
Jozsef Varadi: Yeah. Let me start with the fleet issue. The issue we have here with regard to transparency is that we are not interested in taking actions ourselves to create clarity, because every Airbus delay is subject to compensation. So actually, we are a lot better off, with Airbus coming to us saying that we are delaying the aircraft, because then they will have to pay compensation. So we have to run this kind of duality that, there is a realistic scenario, which is not totally transparent. We kind of know what it is, but it is not totally transparent versus the contractual scenario, which is the economic interest of the business. So I think what we are seeing this 30 to 35 aircraft structural delay that’s going to flow through. I mean, we are not seeing anything that would suggest that all of a sudden Airbus found the magic to get back on track. I think this is an issue that will be prolonged three years, four years, five years, maybe 10 years. I don’t know. So but it’s a long-term issue. So I would almost say that the 30, 35 known today, it’s just going to flow through every year in front of us and it’s not going to stop at the end of fiscal 2027, even based on the news that we are getting. Actually, it has a scope to become even 40, 50, whatever. So there might be more delays to come. So I don’t think I would worry at all about kind of a hype of capacity coming to this. It just kind of smooths itself out. So, basically what it means is that, today we have an order stream in place. We deliver this until 2028. 2028 will become 2029 or 2030. And with regard to the Ryanair issue on fares. So what we are seeing is that, Ryanair tends to drop fares in a big way in the last period of the booking curve, two weeks prior to departure kind of time. And this is a fairly unprecedented action, and of course, while we are overlapping, that affects us, that affects our ability to price. But having said all of that, I think we are more diversified than just competing with Ryanair everywhere. So we have our unique markets and we are also probably better diversified in terms of geographical footprint, having more robust interest in Central and East Europe. What we see is that Western Europe is more saturated with that regard and also we have sparkling demand in India, in the Middle East. So I would say that, some -- to some extent we are definitely affected by Ryanair’s pricing practices. But in a way, we also have our own unique approach to the market. And that’s why basically what the guidance reflects is a moderation of the upside on the yield environment. We assume more to come throughout the final year. But seeing what is happening to our competitors, we moderated that expectation, and that’s what flows through the numbers, really.
Conor Dwyer: Conor Dwyer from Morgan Stanley. First one is a bit of a follow up on that, just in terms of Ryanair dropping fares in the last two weeks. Do you see at all them doing that more aggressively on the routes that they’re overlapping with you or do you think that’s more a broad based action across their whole network? The second question is on the sale and leaseback gains that we’re seeing at the moment. I’m just wondering how much of this, if any, is you basically pulling forward gains that perhaps might have been done two years out, i.e. if you’re getting an engine in now, do the sale and leaseback. Should we expect basically lower gains over the next kind of two years to three years? And a final question, if I may. Obviously, a bit more cost pressure in this quarter than I think you were anticipating beforehand. The wet leases look like they’ll be still a bit of a drag in Q2 and Q3. As a result, I’m just wondering why maintain the guidance? Is there not a bit of a risk that it’s a bit higher than previously expected? Thanks.
Jozsef Varadi: So let me take Reiner and then please take the other one. So, I don’t think there is a significant difference between overlapping capacity and non-competing capacity when it comes to Ryanair’s pricing. They must have but -- I mean you need to talk to those guys. They must have issues across the Board. So maybe they are growing too much relative to the size and the demand environment, but they are trying to tackle. So, but we are not necessarily seeing specific competitive actions. I think they have a broader issue.
Ian Malin: Okay. And on the sale-leaseback gains, we talked about this at Q4, too, where we had a large activity of engine sale-leaseback gains. The purpose of doing that was to invest into the future of our fleet. The engines that we buy today and that we use today will be available for the aircraft today and the aircraft 10 years from now. So it’s important for us to focus on the resilience. We had an opportunity to bring forward deliveries of engines as part of what we were able to source on the market, as well as from our negotiating power with Pratt. And we took that opportunity because we felt that it was giving us the opportunity to keep more aircraft in the sky. The financing structure that we apply predominantly is the sale-leaseback. That comes with a gain. If it means we get it sooner, then so be it. But it’s not the reason why we’re doing it. We’re doing it to make sure that we have a resilient operation and that we have engines to operate our fleet. Q4 was heavily weighted towards engines. Q1 had a certain amount of engines. That profile will now drop off. The engines that we’ve been able to source, we’ve sourced. And while, of course, we’ll look at opportunities to bring more engines, we have a lot of engines right now in our portfolio. And we need to see how the overall unwinding of the situation develops versus continuing to deploy capital into engines. So, yes, it’s a nice feature that there are gains, but that’s not the reason why we’re doing it. We’re doing it to invest both in the near-term and in the long-term success of the business. In terms of cost pressure and why maintaining the guidance, I would say that, the guidance bring down was adjusted to some extent to the revenue that Jozsef mentioned, but also from these wet lease costs. The wet lease costs €40 million in the first quarter. I would say that the 5 to 6 -- €500 to €600 from last quarter could have been brought to €400 to €500 just with wet lease costs alone, and then you see some other stuff bringing it down to €350 to €450. Why maintain guidance? Because probably, ex-fuel CASK high single-digit was on the low end of the high single-digit range and now you can think that it’s going to be on the higher end of the high single-digit range. But at the end of the day, as we’ve evidenced last year in Q4, we do have the ability to intervene and do things to bring costs down. And we have eight months left to go in the year and we want to make sure that we maintain that cost discipline because ultimately that gives us the ability to compete in the revenue environment, regardless of what happens with revenue. And so we are in the business of cost, and that’s why we’re in the business of setting that guidance that way.
Ruairi Cullinane: Yes. Ruairi Cullinane from RBC. Just a follow-up on that question. Clearly in Q4, you’ll face a much tougher prior year comp for CASK, given the timing of the gains and the compensation. Does that mean we should expect quite modest CASK increases in Q2 and Q3? And then secondly, you have some uncertainty about when engines will return going forward. How can you sort of manage that and prevent some of the issues we’ve seen this quarter?
Jozsef Varadi: Well, I mean, with regard to engines, I think we are in a better place going into the kind of post-summer period. I mean, summer is very tricky from an airline standpoint, because this is the time to make pretty much all the profit of the year and this is the time when you are most vulnerable to failures from a consumer standpoint. This is the time when people travel for very specific purposes. I think if we are seeing any variation to the assumptions on our engines, simply we will just adjust capacity. If we are getting more engines back, then we will increase capacity. If we are losing more engines than assumed at the moment, we are simply just going to cut capacity. But we are not going to default on wet lease or anything like that. I think the wet lease need to be very specific against the summer issue. And summer is the time when you don’t want to hand the markets over to your competitors and you don’t want to screw all those customers who’ve already made the bookings. So you have to protect that period. And I mean, you can call it the way you want. We call it strategic defense and we’ve seen that it’s very strong rationale to do that. But the same logic does not necessarily apply going into the off-peak period, into the winter period. I think your ability to move capacity around according to the issues that you try to manage is a lot greater in that period and this is what we are going to do.
Ian Malin: Yeah, Ruairi, you’re right. On the Q4 comp, it’s going to be a very challenging one, considering the ex-fuel CASK delivery that we did in Q4 F2024. We’re not breaking it down by quarter. We’re setting the guidance for the year at high single-digit ex-fuel CASK. There are a number of initiatives underway that give us confidence that we’ll be able to deliver that, but I’m not commenting exactly on what we’re going to do in which quarter. We were 8.2% with the wet lease costs. Those wet lease costs will fall away in Q3. We won’t have them in Q4. That’ll help. But that’s the number that we’re signing up to and that’s the number we’re planning on delivering.
James Hollins: Hi, everybody. It’s James Hollins from BNP Paribas. A few from me, please. I was interested to note that routes served was down 5%. I think when we last heard from you, the plan was to reduce frequencies rather than necessarily routes, and I think, you talked about protecting markets. Maybe just let me know what I’m missing there or whether those routes may not come back in again. The second one on full year 2026, I think you’ve talked about 20% growth. Obviously, you’ve got Airbus delays. Is that still the right number and given the Airbus delays, is Wizz 500 dead? And the third one, just for clarification, Ian, you said last time that the 500 to 600 might have gone to 400 to 500 just with wet leases. Did you not know you were doing any wet leases when we last heard from you? Thanks.
Jozsef Varadi: Okay. So, with regard to the routes, I simply, dominantly, we are using frequency management, capacity management as a primary vehicle to address the overall issues what we are trying to manage here. But that doesn’t mean that we would be not churning routes for financial purposes. I think you should take it as good news. Historically, we used to get credit from you for doing that, that we are very disciplined. And if something doesn’t work, actually, you praise the financial discipline in what we apply. So please keep doing it. I mean, I think churning routes is a good news, because we are not kind of rationalizing structurally making activities on the basis of any kind of other considerations than profitability. So simply we look at routes and we look at the financial merit of the decision making. And we all have to recognize that, profiles and assumptions may change considerably. So, if I take the United Kingdom, one of the huge profound changes arising from Brexit is that basically that created a totally different profile of migration to the country and we have to adjust for that. We have to adjust for that because simply your traveling public is changing and certain flows might not work out the same way. Of course, when you look at, I don’t know, the Israeli situation, what we are seeing, for example, is that, the Israelis are back into that travel pattern. So for the Israeli, what is happening in Israel at the moment is pretty much business as usual. But it is not so much for the adventure travelers who would have been visited Israel. So I think those people are still uncertain about the security situation there and they would not be prepared to take the risk. So, you have to take all these issues into your content, take action. So, churning is based on financial performance, based on profitability and I think it is a good thing.
Ian Malin: Okay. In terms of F26, James, yeah. So, we had said previously 20% growth with the risk of coming in maybe 15% to 20%. That is still consistent for F26 and manageable. I wouldn’t say Wizz-500 is dead. We have got 317 aircraft yet to be delivered on order. We are in engine negotiations with Pratt and CFM. That ties into the overall compensation conversation. And so under no circumstances is Wizz 500 dead. In terms of wet lease timing and when that...
Jozsef Varadi: Sorry, just on the Wizz 500. I think what is happening to Wizz 500 is that 2030 is going to become 2032. Because the delivery program is shifting due to Airbus’ delay. I think we also have to be mindful of the issues. But the Pratt & Whitney engine grounding goes to the business. You cannot just jump 40% one year in terms of capacity deployment and growth and trying to tackle consumer demand or stimulate demand for that. So there is going to be some moderation versus the original plan. There is probably a shift of two years.
Ian Malin: So in terms of the wet lease timing, it was happening while we were discussing the Q4 results. In terms of the analysis and the negotiation, we made certain assumptions in terms of the incremental compensation that would be generated by the fact that we had this profile of 55 aircraft grounded versus something sub-50. We also made some assumptions as to what would happen with regards to capacity constraints and the revenue benefit that would come from that. Those assumptions turned out to be wrong. And at the end of the day, the wet lease program ended up simply just delivering cost with very few, if any, benefits. And so, that is why we emphasize the one-off nature of these and the non-structural nature of these.
Andrew Lobbenberg: Hi. It is Andrew Lobbenberg from Barclays. This is going to be a tough question, I know. You are talking about having 56 spare engines for the summer. You are short of aero planes. Why do you not take some of those spare engines and hang them on a plane and fly? I mean, how do you decide what the right number of spare engines to have sitting in a warehouse? Because otherwise, some nasty cynical people might think that you are getting a lot of spare engines in, sale and lease backing them and getting the gains from those sale and lease backs. In terms of the wet lease, you talk about having five aircraft contracted through the end of the year, but you want to get rid of the winter. But if I am a wet lease operator, there is super strong demand for the summer. There is not strong demand for the winter. Why am I going to let you off that contract? How are you not going to end up having to pay for them all? I see in the context of what leverage might you have. And then third question would be on the trading of Abu Dhabi. I see there is quite a large negative line in the minorities, which would seem to suggest that Abu Dhabi is doing very badly, given the size of it, and obviously, given geopolitics, that is not necessarily astonishing. But how does Abu Dhabi go through these tricky geopolitical times?
Jozsef Varadi: All right. So let us start with the spare engines. Well, I mean, we do not have one single spare engine on the ground. I mean, all spare engines are being used for backing up the operation. So effectively, so if you take, I do not know, let us say 46 aircraft on the ground, so that implies 92 engines. We have 56 spare engines, so this is 148 spare engines. Those 148 spare engines in total are in the queue to get inspected or in the shop for being inspected. So we do not have a single one spared. I mean, we call it a spare engine, but they are not spares. They are all used for supporting the operation. So not one spare engine on the ground. Then the next question is wet lease. I think the leverage that we have here is that we have a structural relationship with these operators, so we can leverage that. With regard to Wizz Air Abu Dhabi, we are moderating growth. I mean, essentially, we stopped deploying the aircraft in Wizz Air Abu Dhabi to make sure that we do not put pressure on the business and let just maturity go through and improve, as a result, the financial performance of the business. So we still think that the merits of the investment in Abu Dhabi are intact, but we just need to make sure that we not just manage growth, but we also manage financial performance. And by moderating growth, essentially stopping fleet growth, we significantly affect the move on financial -- on the financial metrics.
Conroy Gaynor: It’s Conroy Gaynor from Bloomberg Intelligence. So just looking at your RASK guidance, it seems that you’re, for 2H, if we make some reasonable assumptions about the current quarter, it seems you may still be leaving high single-digit on the table. I know visibility is low for 2H, but perhaps is that a period where you’d still expect significant outperformance versus peers because you had perhaps left some on the table in previous years? And then the second one, Ian, I believe you mentioned earlier there’s a lag between when you stop receiving the Pratt & Whitney compensation and then when the aircraft actually comes back into service. Are you able to quantify that lag and is there much variation on a case-by-case basis?
Jozsef Varadi: I think on the RASK issue, maybe the best way to think about it is a few things. I mean, one is when you look at what we have done relative to our competitors, not just taking the snapshot of today, but kind of looking at it over the years, we have been pushing RASK a lot less than our competitors. So we didn’t put the business through such an inflationary way as most of our competitors. So that’s one differentiating factor. The second differentiating factor is that, there is a lot more maturity, but we are able to gain from the post-COVID investments. You remember we jumped up coming out of COVID 60%. There is a maturity curve, three years, four years, whatever it is. So, we will continue to benefit from that maturity. The third element is, and this is a short-term view, that if you look at our competitors, they grow like 10% capacity and we are growing no capacity. I mean, that gives us a short-term advantage on RASK. So we think we ought to outperform competitors on the basis of these three factors. But we moderated our expectations with that regard. We were moderating more to get out of the revenue environment than actually what we think now the realities are, seeing how the market is reacting. And again, this is not specific to Ryanair or not even to the airline business. I would say that we are seeing a trend across consumer goods and services that essentially there is a ceiling to how much you can price against consumer demand.
Ian Malin: And in terms of the unparking exercise, the issue really comes when with -- when you get these quick turn engines, which we aren’t able to identify immediately. Pratt identifies it and alerts us and then accelerates the process. We haven’t accelerated the turnaround time for, say, standard engines. It’s still roughly 300 days is what we’re working towards, and with that, that gives us time to plan. It gives us time to figure out where that aircraft is going to go back into service, what the crew situation looks like, it allows us to train up for the crews and things like that, so we can minimize the impact, this lag between the aircraft arriving and the compensation ceasing and the aircraft getting back into service. The issue was specifically in the learnings with regards to the first wave, that also happened to be the quick turn wave, which put further pressure on the overall process. So we’re working on managing that, and that’s something that’s part of the overall discussion with Pratt, so how to optimize that. When we negotiated the deal back in November, most of us were thinking about how do we park and where do we park and what do we do about parking. Now we have the ability to take all the learnings that we’ve accumulated thus far, including how we deal with this lag and apply that towards the next round of negotiations.
Jaime Rowbotham: Good morning. It’s Jaime Rowbotham from Deutsche Bank. A couple of boring financial ones. Obviously on Slide 5, very helpful to see the net other broken out. The €91 million of supplier compensation, any reason not to think about that as a sensible run rate for the next two quarters? Secondly, Slide 6, helpful to see quarterly free cash flow. Could you just clarify your free cash flow definition? If I total fiscal 2024, I get about €1.2 billion. I think it must be unlevered or pre-leases or something because it looks quite high. And finally, on top of the ATC issues, were you materially affected by the IT outage, the CrowdStrike situation earlier this month? Thanks.
Jozsef Varadi: Okay. So the €91 million in terms of compensation is a mixed basket. It includes Pratt & Whitney, as well as other suppliers, Airbus is in there, as well as other Tier 1 suppliers that cause the contractual issues with regards to us effectively accessing our assets. So I would not say that, it’s 91 times 4. I would scale that down somewhere between 250 to 300 level for this year. On the definition of free cash flow, we have it in our alternative performance measures definition. It’s the same one that we’ve used. It is one that’s been agreed with our auditors. I don’t have it in this R&S, but I can point it to you later on unless, Mark, you have that. But it is a specific free cash flow one that has been aligned with IFRS and it’s certainly in the annual report if you want to look at it for the free cash flow. And then in terms of the IT outage, CrowdStrike, so Wizz was not directly impacted by CrowdStrike. We don’t use that vendor, so it didn’t have a direct impact on us. But indirectly, we were impacted through our bookings provider, as we -- which was the same provider as many airlines and certainly low cost airlines use. We had a certain amount of direct compensation or welfare costs that we had to incur. I would say that’s in the low millions in that category. And in terms of revenue loss, we obviously lost about 12 hours’ worth of revenue sales. We cut up with more than half of that over the weekend and there were some other impacts. But I would say that it would be net somewhere around, say, €10 million to €15 million of total impact. We are obviously looking at ways to remedy that and to claw that back from our vendors. And in terms of EC261 impact, so Friday we know was completely compensation related. We were protected. Most of Saturday was protected and then Sunday started to see EC261 costs come back as what happened over the weekend was a combination of weather and air traffic control then got overloaded and that then meant that we were having to shorter the burden there.
Dudley Shanley: Good morning. Dudley Shanley from Goodbody. Just one question, which is on costs. If we think about costs over the next few years, the wet leases will obviously wash out. But I think you mentioned it kind of ceiling to what customers are willing to pay. Is there more you can do on costs over the next few years to protect yourself?
Jozsef Varadi: Yeah. So I think what we are having on hand here is a few categories. So, one is the one-offs, that’s wet lease. That’s going to be over. So, I think if you kind of model out the business over the next, I don’t know, two years, three years, five years, whatever it is, that’s not a factor into it. I mean, that was a decision made at a certain time, assuming certain issues and strategic considerations, as well as technical considerations, but it’s not an issue for the long run. Even I would say that many of the cost issues that we are saying are temporary in nature. So, if you think about this. In order to protect capacity, it was not only the wet lease line, but also it was the extension of existing aircraft. And mainly that extension implied the extension of A320ceo aircraft. So. almost 20% more fuel burn, 180 seats versus the neo much improved fuel burn and 239 seats. But that line is also temporary because we created kind of a two-year to three-year capacity bridge. So if you really look at capacity structurally over the longer run beyond, let’s say, two years or three years, that will wash itself as well. But it will -- this issue will stay with us in the form of somewhat older fleet than originally intended and somewhat lower gauge than originally intended with all the cost impact unit, unit cost on cost. So then you have crew costs and crew cost carries some level of unproductivity as we speak, because we have to wind down capacity and we have to ramp capacity back up once we start receiving the engines back and we continue to take new aircraft delivery. So. I think the crew cost is probably a one-year issue, maybe an 18 months, two-year issue at max, but it will moderate itself. So once we are regaining productivity, predictability and transparency, then we can a lot better manage and set ourselves for recruitments and retentions and all those all those issues. Where we think we should do better and it has not much to do with the current issues, is better aligning network decisions with airport costs. This is where we have been going a little loose, because one part of the organization was chasing revenue. How do you get RACK revenue easier? You go to a high cost environment where demand is prepared to pay more. So London Heathrow is going to pay you more than London Luton. But there’s a huge difference on the cost side as well. So I think we should be more disciplined with this regard and we are taking actions to make sure that this is this is happening. But I would say that most of the cost issues what we are seeing actually are either one-off or temporary in nature. But temporary means one year, two years or even three years to some extent. So airport network decision alignment is one area. But what we control and we should improve and we should do better. I think the other area where we can do better is now we are regaining all the fundamental KPIs for operational efficiency in terms of utilization. I think utilization is by far the most important one, because this is your ability to spread fixed costs in the system. But also, I think, we are much improving the quality of operations in terms of cancellation late being one of the lowest in the industry and improving on time performance. We still think we have design issues to address that effectively creates more efficiency and more resilience for operations. So, if I want to put it very simple. Today, when we break down, we are resilient now, because we have the resources, we have the crew, we have the aircraft, we have everything. But resilience is costing us a lot of money. And we think there is a smarter way of designing the airline, the operating model to make sure that we are resilient, but not at the same cost. But we are paying today. So I would say the priorities are the two major improvement areas. Of course, we will continue to chase revenue to an extent we can and we apply all sorts of AI vehicles, et cetera, to make sure that we learn the market and build up those learnings as quickly as possible. But these are the areas which I think are within our control. So really look at it like three buckets. If you wish one-offs, they will go away very quickly. Temporarily, one year to three years and kind of what we can really own and control. And these are the three buckets that we are focused on.
Mark Simpson: We’ll now go to the online questions.
Operator: And we’ll go to Othmane Bricha at Bank of America. Would you like to unmute yourself? Othmane, would you like to unmute yourself? Okay, so we’ll go to.
Othmane Bricha: Hello. Can you hear me now?
Operator: Yes. We can. Thank you.
Othmane Bricha: Yeah. Yeah. Sorry. Yeah. Yes. First question is about the closing bookings besides the competitor behavior. Would you want to highlight any specific country in East or West Europe where you see more softness on the RASK? And second question is on Italy. Do you have any interest on ITA slots and how do you see the competitive landscape in Italy changing? Thank you.
Jozsef Varadi: Okay. But it is fairly straightforward. We have been following all this integration process, the merger process with some interest. We’re seeing that the slot remedies at Linnata are insufficient and it doesn’t really create competition in the marketplace. It doesn’t really create operational efficiency. So we are not interested. So we are not going to pursue any anything in Italy. But that regard, we will continue to grow the business organically. We think we have sufficiently open capacity available to us at Malteinsa, Rome, Primacino and the regional airport. So we are on that strategy. So we are not going to do much in Italy with regard to the ITA remedies. In terms of bookings beyond what we are seeing, we don’t really detect anything in particular market-by-market.
Othmane Bricha: Thank you very much. And one more for Fiscal 2026. How should we think about normalized CASK?
Jozsef Varadi: Well, certainly, no wet lease. I think you should start seeing some improvements in terms of gauge, in terms of fleet age as we are regaining the engines. So I think that would be for the benefit of the business. Little improvements on crew. But still, we would be in the face of ramping back up. So it wouldn’t be the full productivity coming through that that line. Certainly, we would be better aligned between network decisions and airport costs to make sure that network decisions actually drive airport costs down and not up. So I would say it would be a significantly improved year versus the current financial year. But it wouldn’t be the best what you can imagine.
Othmane Bricha: Thank you.
Operator: And we’ll go to Sathish Sivakumar from Citi. Satish, do you want to unmute yourself?
Sathish Sivakumar: Yes. Yeah. Thank you. I got two questions here. So, on the disruption cost, could you help us understand like what was the level of disruption cost last year and also in Q1? Because if I look at the year-to-date or even quarter-to-date trends, except for the last, like, week or so, the overall trends have been better than last year across the industry, as well as, like, even for Wizz Air. So any color on why do you think it would be a big impact this year as things are actually got better versus last year? And then in terms of ancillary performance, have you seen like any pullback from consumers on ancillary products? Is there any specifically any product-wise that is impacting? And also any color on, say, Wizz Air UK versus Wizz Air Central and Eastern Europe in terms of the ancillary performance would be helpful? Thank you.
Ian Malin: Hey, Sathish. So in terms of disruption costs, I think it’s fair to say that Q1 F2024 was strongly disappointing. Coming out of the previous summer where we had the worst performance and then the commitment to make a lot of investments to improve that, Q1 did not deliver. So you’re seeing a disproportionately high Q1 F2024 versus Q1 F2025. Q1 F2025, as you can see from the operational metrics was good and so you’d expect there to be lower disruption. I think there’ll be some pressure in Q2 around disruption as we talk about all the challenges, weather, ATC, that have been facing many of us, including, of course, the CrowdStrike disruption. So I think Q1 was a strong order for disruption, Q1 F2025 versus -- and certainly versus F2024. Q2, we’ll see some of that strength weaken. But we’re still targeting and delivering on our operational KPIs so that we’ll be able to keep that cost line under control. In terms of ancillary performance pullback, well, we do tend to reflect on the relationship between ticket and ancillary. And there is an element of cannibalization that happens if you try to price ancillary too high and so we are aware of that and manage that. We’re not seeing necessarily pullback in any one particular product. We’re consistently coming up with new concepts and putting them through business cases and into practice. But we don’t comment on particular markets, whether it’s U.K. versus our Hungarian operation or our Malta operation. So we wouldn’t be able to give you any insight as to how that’s how that’s looking, one market versus the other.
Sathish Sivakumar: So -- thank you, Ian. Just going back to the disruption cost. So, Q2 disruption cost would be higher than last year. Is that what you kind of expect as things stand today?
Ian Malin: Well, we have one month of reported figures in the bank and it’s too early to say, Sathish.
Sathish Sivakumar: Okay. Yeah. Thanks, Ian. Yeah. Thank you.
Operator: And we’ll go to Neil Glynn at AIR Control Tower. Neil, hopefully you can unmute yourself. I’m going to read out his question. I was hoping that he’d be able to ask it himself. But, oh, Neil, go ahead.
Neil Glynn: Oh! Hi, there. Thank you very much. Just a question on your growth plans, as you -- as growth again comes into sight in FY 2026, following on from what does seem like a particularly weak Wizz Air Abu Dhabi performance. Can you give us some sense as to your appetite to establish basics further afield while the core business is suffering such disruption? And also, if you could provide any color on your thinking on the need for a proof of concept at Wizz Air Abu Dhabi before you do go bigger outside of Europe eventually? Thanks.
Jozsef Varadi: Yeah. So, I think with regard to growth, you should continue to see Wizz Air as an airline focused on Central and Eastern Europe, and this is what we have been saying consistently. We think Central and Eastern Europe for Wizz Air is bread and butter and will continue to be bread and butter. So when it comes to growth, I mean, this is our primary market to look at for growth. We also said that we would be kind of opening windows towards the West and towards the East. Towards the West, it’s a very select market investment. So this is down to really three markets as we speak, U.K. through Wizz UK, Italy and Austria through Wizz Air Malta, and we have no plans to push the footprint beyond this. We want to make sure that we follow through these investments. They -- all three are doing fine, strategically, financially, et cetera. So we just want to make sure that we stay relevant to the market and we take all the opportunities arising to -- arising in the market for the benefit of the business, of course, in a financially responsible way. Then you look at Go East and this is what we said that this is discretionary. This is subject to the regulatory framework, geopolitics, et cetera, et cetera. And now we are seeing that the Abu Dhabi circumstances are somewhat weaker than before. We’ve seen that is still a significant consumer demand. But at the same time, geopolitics have been also making an impact on the marketplace. But our way of kind of managing that issue is through capacity planning. So now we are not really moving capacity into Abu Dhabi, waiting for metric to happen, and once financial performance stabilizes, then we’re going to be going again. And this is very classic, I would say, of Wizz Air. So you see very strong financial performance. You follow that through with growth and capacity. You see some weakness in financial performance. You hold the lines until financials improve and you go again. And this is exactly what we are doing as we speak.
Operator: And we’ll now go to Volodymyr Shkuropat from Trigon. Would you like to unmute yourself? Go ahead. We can’t hear you. Do you want to unmute yourself or otherwise?
Volodymyr Shkuropat: Hi.
Operator: Great. Yes, we can.
Volodymyr Shkuropat: Yes. Hi. Two for me, please. First, on your RASK dynamic by month in 2Q 2025, if you could share, please. So we have July behind us and what do you see in the current bookings for August and September? Second, on FY 2026 growth, where do you plan to deploy the capacity you will be adding to the market? Will it be mostly the existing roads or new roads, and why? Thanks.
Ian Malin: Okay. Let me take the second one first. So, with regard to what Jozsef said in terms of market focus, it’s going to be Central and Eastern Europe. And in terms of way of growing capacity, I think a lot of it will be through capacity increase. So we are just going to be adding frequencies. There is always scope for joining the dots, opening new routes across existing airport portfolio. And we want to stay innovative and pioneering by also bringing new markets to the franchise. But overwhelmingly, this is going to be Central and Eastern Europe and it’s going to be frequency increases.
Jozsef Varadi: Okay. And then in terms of the second quarter, I gave you earlier the current loads that are booked for August, September, October. So you had that from earlier. And then in terms of RASK, I would say that, July will end up being flattish. August is up in line with guidance and September is up as well and still building.
Volodymyr Shkuropat: Thanks.
Operator: And we’ll go to Alex Paterson at Peel Hunt. Do you want to unmute yourself, Alex? Go ahead.
Alex Paterson: Yeah. Good morning, everybody. Hi, Ian. Is it possible that you could just repeat what those forward booking levels were, because I didn’t get them? And also…
Ian Malin: Yeah.
Alex Paterson: … just to comment on the level of demand by sort of segment. So, obviously, the migratory patterns have changed a bit. Are your VFR volumes, how are they relative to where there were business volumes, that kind of thing. Is there any sort of material difference? Any area particularly lagging where you’d expect it to be? Thank you.
Ian Malin: Yeah. So August, September, October, respectively, 74%, 38%, 18%. That’s a snapshot as of last few days. In terms of our level of demand by segment, I mean, we used to be very little in terms of leisure, almost no business, mostly VFR. We’ve given you the breakdown before. We are seeing more leisure, certainly as markets in Central and Eastern Europe look to travel further west and south. So a lot of flows between Eastern Europe and Spain, for example, and Italy to and from Eastern Europe as well. But nothing that’s causing any concerns of anything. I would say that it’s probably giving us more confidence that the propensity to travel is increasing. And that’s why, as Jozsef said, we continue to focus on our bread and butter. Maybe the export of labor is becoming less of an issue and more the export or the more penetration of travel is becoming simply the more new normal in those markets. And so that’s why, the -- I would say, the Saudi push and other AOC pushes are less immediate. Well, we have opportunities in our home turf that we can pursue.
Alex Paterson: Thank you, Ian.
Operator: And we’ll take the last question from Stephen Furlong at Davy. Stephen, do you want to unmute yourself or type *6? Stephen, I think that we’ll have to come back to you separately. We’ll go to -- we will take one final question from -- Stephen, go ahead.
Stephen Furlong: Okay. Yeah. Yeah. I mean, it just kind of cut it another way in terms of a question I think Neil asked before, when you talked about Wizz 500 hundred and obviously I know it’s delayed maybe two years because of the aircraft delays. But you’re kind of conceptually, Jozsef, it was like maybe half of it was Central and Eastern Europe, 125 aircraft go West, 125 go East. Is that how you still think of it or is it kind of moved around in terms of the boxes? And just the second question I just want to ask, just generally more wider question about the supply chain and issues dealing with the suppliers, because it’s kind of like it’s their issues, but they’re actually almost -- if you look at the value creation of some of those companies, they’re actually almost doing well out of it at the expense of their customers, if you get me. So just your general thoughts about that as you hope to renegotiate things? Thank you.
Jozsef Varadi: So, with regard to Wizz 500, yes, there might be a timing implication, but I don’t think structurally we have lost any merits with that regard. So we feel that now the model is increasingly coming back to where it needs to be and execution has been improving. Now, of course, I mean, just look at life from our perspective. I mean, I don’t think you have seen anyone in Europe dealing with the level of issues arising from the war in Ukraine, the level of issues coming out of the Middle East and the impact of the Pratt & Whitney situation. Everyone has been having some kind of supply chain issues, some sorts of geopolitics, maybe not the direct impact, but the indirect impact of creeping costs, et cetera. But we have been disproportionately affected and we have reinstated the model. Still somewhat tainted, but clearly I think we understand where the issues are and what we need to do to address those issues. So we feel very comfortable in the spirit of Wizz 500 and our ability to deliver Wizz 500. Now, with regard to the very specifics of how we’re going to be delivering it across regions, I mean, when we said to 250, 125,125, that has always been meant to be indicative. But don’t take it like a Bible. I mean, this is not a Bible. I think what it really tries to say is that, focus will remain on Central Europe with some developments in Western Europe and going East. But whether the 125 go East is going to be 125 or 75. I don’t know. I mean, this is a long way to go. A lot of these issues are discretionary. Things can change and we shall see. But the commitment that we have is. Is to deliver shareholder value and shareholder value may be delivered through profitability and growth, and this is our commitment. We will keep updating our own views based on the evolving realities. So certainly we believe that our core focus on Central and Eastern Europe will remain unchanged. There is no indication why we should be diverting away from that view. But whether the splits, the numbers will come out exactly the same as these numbers, I don’t know. I mean, we will continue to update ourselves and educate ourselves, and we’re going to be learning from the markets. With regard to our supply chain. I think the supply chain has become a big deal for this industry for a number of reasons. First, I think that the duopoly game in many of the areas has kind of reached its limit, especially vis-à-vis the regulator. The regulator is taking a different stance, is applying more scrutiny. So this kind of a cozy duopolistic relationship is over. I mean, you certainly see that in the Boeing case. But I would even think that this has a lot bigger implications that will slow down innovation, technological development. But simply because if a regulatory process took three years in the past, maybe it will take 10 years in the future, just because of the enhanced scrutiny in the system. I also think that to some extent, this is in response to cutting corners in developing technologies. I mean, you see the Pratt & Whitney issue, but I would say some of the Boeing issues. This is coming from the times 10 years ago when the two OEMs were competing on MAX versus neo. And they were very quick to market. Corners were caught here and there. And that technological prematurity is now hitting the market. I mean, I would say that, if I look at the Pratt & Whitney matters, I mean, most of these issues should have been avoided, could have been avoided. Should that have been more scrutiny applied and kind of a slower process, more testing, et cetera. So I don’t think that the supply chain issues are hiccups. I think they are a lot more a changing phenomenon that is going to affect us. So if I go back to the Airbus issues, whether the delays of aircraft deliveries are just hiccups. No, I don’t think so. I think this is really shifting things structurally. And we should be expecting, with that regard, a new environment, less innovation, less technological developments, more push and scrutiny on execution, and I think that will slow things. So getting access to new aircraft, for example, is going to be mission impossible. If you don’t have an aircraft order on hand, you are not going to have an aircraft order on hand in the foreseeable future. And I think the next window being open is like 2030. But this is like six years or seven years down the line. So we’ve seen that actually we have a huge strategic advantage of having 300 aircraft on order that will differentiate us versus the rest of the industry.
Operator: And we’ve run out of time. So back to you in the room.
Jozsef Varadi: Yeah. With that we can conclude the meeting. Thank you very much. Ladies and gentlemen, thank you for coming. Thank you for listening and being active with your questions. Have a good day.
Ian Malin: Thank you.